Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Green Thumb Industries Inc. Q4 2020 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today Jennifer Dooley, Chief Strategy Officer. Thank you. Please go ahead, ma’am.
Jennifer Dooley: Thanks, David. Good afternoon. And welcome to Green Thumb’s fourth quarter 2020 earnings call. I am here today with Founder and Chief Executive Officer, Ben Kovler; and Chief Financial Officer, Anthony Georgiadis. Today’s discussion and responses to questions may include forward-looking statements, which are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. These risks and uncertainties are detailed in the Company’s reports filed with the United States Securities and Exchange Commission, and Canadian Securities Regulators, including our quarterly report and annual report on Form 10-K which we expect will be filed tomorrow. This report, along with today’s earnings press release, can be found under the Investors section of our website. Green Thumb assumes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. Throughout the discussion, GTI will refer to non-GAAP financial measures, including EBITDA and adjusted operating EBITDA. A reconciliation of non-GAAP financial to the most directly comparable GAAP measures is included in our earnings press release and SEC and SEDAR filings. Please note all financial information is provided in U.S. dollars unless otherwise indicated. Thanks, everyone. And now, here’s Ben.
Ben Kovler: Thanks, Jen. Good afternoon. And thank you for joining our fourth quarter and year-end 2020 earnings call. What a year! While we kick off 2021 up with incredible optimism, I’d be remiss not to acknowledge what a test 2020 was on so many fronts. But, the essential business designation of cannabis by local governments and communities across the country with a strong vote of confidence amidst great uncertainty, it said, cannabis is for the people. Cannabis job creation is meaningful. And communities benefit from cannabis tax dollars.  2020 was also a test of adaptability as Americans found new ways of living and learning, and businesses across the country, Green Thumb included, innovated rapidly to meet customer needs in a dynamic marketplace. From the first day of 2020, when we kicked off Illinois adult-use and nearly every day in between our team was there for our customers when they needed us most. In 2020, we completed almost 4 million transactions. That’s 4 million one-on-one consumer interactions. That’s more than double 2019. We opened 11 new stores last year, plus several remodels and expansions. We acquired a third store in Connecticut, and have already started in 2021 with three new openings, making 54 stores opened across the country. We are inventing in new ways to strengthen our customer relationships that reinforce what consumers love about our products and retail experiences. And we continue to build our team to support our growth, hiring throughout the pandemic with 1,300 people joining the team in 2020. All the while our commitment to our communities remains steadfast. We have several active programs and partnerships. One example is the Dogwalkers, animal rescue and shelter support funded by purchases of Dogwalkers branded pre-rolls. We also have a program where we donate our first day profits to community organizations with each new dispensary opening. We’re thankful for the support of partners like Community Shelter Services in Erie, Pennsylvania; Florida Rights Coalition and Restoration, Kendall, Florida; and most recently, Paramus Children’s Health Foundation with our opening this week in New Jersey. We are privileged with the opportunity to have a seat at the table as a new industry unfolds. And it is my special privilege to say 2020 was a very productive year that delivered outstanding results for our shareholders and more cannabis to more people across the country. Fourth quarter revenue increased 13% over third quarter to $177 million and for the full year, reached $557 million, more than doubled 2019. For those of you on the call that we met along our road show in May of 2018, we estimated back then that our 2020 revenue would be just under $400 million. So, we are pleased with over $550 million. We delivered $22 million a positive GAAP net income in the quarter and achieved our second consecutive quarter of positive EPS, $0.11 in the fourth quarter, more than doubled Q3. Increased scale and operating leverage from expanding production capacity drove $66 million of adjusted operating EBITDA that’s 26% above third quarter. And stepping back, fourth quarter to fourth quarter, we grew revenue $100 million on the core business or 134%, while we grew EBITDA $52 million or nearly 5x. It’s a pretty amazing situation year-over-year. We continue to make disciplined, high-return investments into the business. The outlook for U.S. cannabis remains strong and we are pleased to be riding the wave. We’re still in the early innings of the great American cannabis growth story as the consumer, social, capital and political landscape lineup for change. The political stage is set for action where the new administration is committed to advancing comprehensive cannabis reform. In the capital markets, there was over $1 billion raised across U.S. operators in just January alone. At Green Thumb, we remain focused on driving down our cost of capital. At the start of the year, we completed our U.S. IPO and sale of SEC-registered shares directly to U.S. investors. This is an important milestone, and we view this one step closer to listing on a major U.S. exchange, giving equal footing for our Canadian peers. We completed the financing without any fees. So, gross equals net and $156 million goes straight to the balance sheet. This transaction was a big win for two reasons: Our shareholders and the industry. For shareholder, its dry powder for Green Thumb to invest and capitalize on high return growth opportunities that drive shareholder value. And for the industry, we see there is a leading indicator of strong institutional appetite for U.S. cannabis. There are a lot of ways to both, grow and slice the pie simultaneously. And we like our position as the green wave unfolds. We believe what is happening in Illinois, with over $1 billion in year one adult-use sales and nearly $200 million of tax revenue, it’s actually a preview of what’s to come across New England, the Southeast and the Midwest. And when you think about it, Illinois is just starting. In fact, our stat of the day is the state of Illinois collected more tax dollars from cannabis than alcohol this February. The line’s crossed. Illinois cannabis contributes more tax dollars than Illinois alcohol. More growth in Illinois cannabis than in Illinois alcohol ahead. Momentum in markets like Connecticut, New Jersey, New York and Pennsylvania makes sense, because there are a lot of consumers who live there that want a lot of cannabis. As the details of these programs are worked out, we hope lessons from the Illinois adult-use are noted. Especially regarding social equity licenses, it still remains an issue. And that is not good. The industry is in a place that it can enable new wealth and new opportunity for those that did not have access to it before, and Green Thumb wants to help make that happen. At Green Thumb, we are actively studying, planning and building our boat because as I hope you can see by now, the tidal wave is real. We opened our first California store in Pasadena this month, giving us firsthand experience inside the country’s pioneering cannabis market. Through a recently announced partnership, we’re expanding access to California’s number one cannabis beverage, Cann, by bringing it to Illinois this spring. This is an entirely familiar format, sparkling beverages, yet totally untapped in cannabis. We’re excited to invest in the nation’s leading cannabis beverage and to introduce a compelling alcohol alternative to tens of millions of Americans. The Green Thumb team loves the white space opportunities to connect with consumers with safer alternatives such as an incredible Snoozzzeberry instead of an Ambien. Dr. Solomon’s rescue Lotion instead of IcyHot; a bong head of Rhythm’s Brownie Scout instead of Xanax; a Beboe pastille, instead of a wine hangover, and now a Cann instead of a White Claw. Above all, we have a solid foundation, a really fantastic team, excellent products, very high-quality flower, which really is the start of it all, and a proven track record of doing what we say we will do. There’s no exact blueprint for how the world, the country or the industry will evolve in a new post-COVID world. But the American consumer guides us and the Green Thumb team remains as energized as ever to serve them. With that, I’ll turn the call over to Anthony to dig into our financial results for the fourth quarter and full year. Anthony?
Anthony Georgiadis: Thanks, Ben, and good afternoon, everyone. As you just heard, we’re incredibly proud of what the team accomplished in the fourth quarter and throughout 2020. In addition to generating record revenue and profitability, the team showed tremendous growth. None of the accomplishments of the last year would have been possible without the hard work, dedication and personal sacrifice of every member of the Green Thumb family. And while the successes in 2020 were significant, we remain steadfast and focused as ever on the future. But we’ll get to that later. For now, let’s have some fun with our numbers, starting with revenue. In 2019, the company generated $216 million in revenue; in 2020, $557 million. 2.5x growth in the middle of the pandemic certainly made for an interesting year. In Q4 alone, the Company generated $177 million in revenue, a 13% increase over Q3 and $100 million greater than our Q4 2019 revenue. Given our limited M&A activity in 2020, nearly all of this growth was driven in the old-fashioned way. We made more and we sold more. For the quarter, gross CPG revenue grew by $23 million or 31% over Q3. On a net basis, accounting for intercompany revenue, our quarterly growth approximated $11 million or 25%. Over in retail, revenue increased $9 million or 8%, primarily driven by same-store sales growth. On a gross basis, our revenue split for the quarter was 55% retail, 45% CPG. On a net basis, 68% retail, 32% CPG. It’s exciting to see the impact of our CapEx dollars at work as our CPG retail revenue ratio continues to tilt towards CPG. As a reminder, the difference between gross and net is intercompany revenue, which approximated $42 million in Q4 and $30 million in Q3. The Company’s robust revenue performance is a result of the following: Number one, more legal consumption. Demand is big and growing. Two, quality product. Our goal from day one has been to produce and sell great cannabis products, products that we ourselves want to purchase. Last, execution. We cultivate, we manufacture, we retail. The fundamentals of this business are similar to any other. We push our team to consistently choose simple over complex. Turning to profitability. The Company continued to perform, posting gross margins for the quarter and the year in the mid-50s. In fact, Q4 was a record just under 57%. As I’ve said before, our intrinsic goal is to keep this very important metric at or above 50%. On the SG&A side, expense for the quarter approximated $53 million or 30% of revenue. Excluding D&A and stock-based comp, normalized operating costs totaled $38 million compared with $34 million last quarter. While operating leverage didn’t quite have the verticality as it did in previous quarters, we have made a conscious effort to deepen the Company’s bench in the face of regulatory change. Total other income for the quarter approximated $3.4 million, largely driven by the mark-to-market of our investment portfolio. Accounting for everything above, in Q4, the Company generated over $65 million in adjusted operating EBITDA, close to 37% of revenue. It also produced just shy of $51 million of pretax income and $22 million in net income. This provided Green Thumb with its second consecutive quarter of positive EPS of $0.11 a share, a nice increase over the $0.04 we reported in Q3. For its fiscal year 2020, the Company generated approximately $180 million in adjusted operating EBITDA, 6 times more than the $28 million generated in 2019. In summary, from 2019 to 2020, the Company grew its revenue by 2.5x and its EBITDA by 6x. Pretty, pretty good. Turning to our balance sheet. We ended the year with just under $84 million in cash and continue to keep a tight leash on the Company’s working capital, notwithstanding its tremendous growth. Subsequent to quarter-end, we raised $156 million in additional equity capital. What’s notable about the raise was first, itself conducted, meaning we did not use an intermediary, and as Ben succinctly said, gross equals net. Second, the equity we sold was registered with SEC. In early February, the SEC deemed our S1 effective, a major accomplishment for the industry. On our public float, over 80% of our shares are freely traded. We continue to believe that liquidity brings confidence. Net-net, we are extremely proud of our Q4 and 2020 financial results. During our last call, I indicated that 2021 would be a year where many things would change, yet many would stay the same. Simple principles such as leading with the consumer, focus drives excellence, market optimization, prudent capital allocation, investing in the team and playing to win will remain our North Star. The only difference is we now have a well-stocked war chest. And with that war chest, we not only plan to build a bigger boat, but an armada. In closing, I’ll leave you with a quote from the Oracle of Omaha. “Every decade or so, dark clouds will fill the economic skies, and they will briefly rain gold. When downpours of that sort occur, it’s imperative that we rush outdoors carrying washtubs, not teaspoons. And that is we will do.” And in this 100-year storm, we call Prohibition 2.0, we are going to bring other people along with us to take advantage of the greatest economic and cultural opportunity our generation has ever seen. Back to you, Ben.
Ben Kovler: Thanks, Anthony. Good dynamic comments from the CFO. I appreciate it. This is our third year-end call since we went public in 2018. And when I look back at what our team has accomplished in this short period of time, I’m both humbled and grateful. We have built a very strong foundation to continue our growth trajectory, but that’s only part of the Green Thumb story. Each day is a new day at Green Thumb. How might we expand access to wellbeing, serve our customers and communities better? How might we provide more opportunities for our team and manage capital more efficiently? I’m especially proud that our team continues to dedicate time to support our communities and one another during COVID and beyond. Given it’s international women’s month, I want to give a special shout out to the women on the Green Thumb team on today, the greenest day of the year. And for me, personally, I feel lucky to be part of this team and this industry. We still have a lot to learn, and I expect and hope we’ll continue to have a lot of fun learning. From the consumer perspective, the cannabis industry, product and access will only improve. That means 2021 is a new beginning for all of us. We wake up every day here energized by that idea, it’s still day one. Operator, we will now open up the line to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Matt McGinley with Needham. Your line is open.
Matt McGinley: Thank you. My first question is on the CPG business. The sequential increase in revenue in this quarter was impressive given that most of your production assets would have been operational for most of the third quarter. I think your big cultivation projects this year don’t really become operational until later in the year. So, the question is, would the increases in production efficiency be enough to sustain your CPG revenue growth in the first half, or does that become more muted until later in the year?
Anthony Georgiadis: Hey Matt, this is Anthony. I’ll take that one. So, the team did an excellent job at bringing forward some of the future CPG revenue that we had projected. The construction projects ended early. We got the plants, planted early, and then subsequently were able to get that revenue flow-through the P&L, sooner than we initially anticipated. Obviously, we’ll continue to focus on efficiencies, but that was one of the drivers of the growth that we saw quarter-over-quarter.
Matt McGinley: Got it. And on the CapEx, I didn’t hear anything with regard to the CapEx plan for the year. I think, you spent around $100 million in 2019. And I’m not sure at the very end of the year was for this year, but it was around probably $110 million, $120 million. How does that look for next year and rather this year? And would you expect to use sale leasebacks, or would that primarily come from the cash that you raised in cash from ops in ‘21?
Ben Kovler: Excellent question. Hey Matt, it’s Ben. I think, you’re right to focus on that because I think the spend is a leading indicator of what’s to come as we try to sort of continue to preview over the last 18 months or so as we turned on some things in 2020. You’re exactly right, $110 million to $120 million on the CapEx. You will see that tomorrow with the filing of the K. And I would say, really, in 2021, we’re going to go bigger than 2020. It’s a little hard to handicap exactly what’s going to happen and where. We’ll continue to try to be as transparent as possible. Source of funds, to your question, it’s a very interesting time to be thinking about cost of capital. And the sale leaseback market and the expense of money and what that’s looking like. It’s a changing curve. It’s not static. And an asset for a long period of time at a fixed rate, much higher, you no longer own is not as attractive when traditional mortgage is available, or debt rates, as we’ve talked about, are going down. So, everything we look at is a lens of shareholder value. And we wouldn’t spend more than we need to, to have the money we need to execute the plan. We’re obsessed with driving down cost of capital and we’re pumped about 2021.
Operator: Your next question comes from the line of Camilo Lyon with BTIG. Your line is open.
Camilo Lyon: Thanks. Good afternoon, everyone. Great job on the quarter. 2020 was a fantastic year for your gross margin expansion. And that really continued, obviously, here in the fourth quarter. Can you give us some sense into the key drivers of that margin expansion in the fourth quarter? And how would you think about those influencers into 2021, particularly on the pricing side and your expectations for that input?
Anthony Georgiadis: Hey Camilo, Anthony here. So look, yes, obviously, incredible year on the gross margin front. We saw a nice gross margin expansion. I think, the biggest driver is operating leverage, particularly on the wholesale side of the business. The retail gross margin is relatively static, depending on the market, depending on the time. But, what you really saw throughout the year was we grew into the facilities that we built out. And as the teams effectively operate longer, we become more efficient. And it’s one of the things that we focus on daily is just continuous improvement. It’s hard to first of all, to see where that kind of goes in the future. Do I expect the margins to stay where they are? It’s really tough to say. And that’s why internally we really focus on keeping that number at or above 50%. If we can do that in the long term, we should win. And so, that’s really what we’re focused on. And as we look ahead, that’s really kind of the benchmark that we tie ourselves to.
Camilo Lyon: Got it. And then, my second question is on the cultivation side. Really from understanding where you’re at in New York and the build-out of the new facility that I think you built ground on in Warwick, New York. And also, just an update on the progress of the New Jersey, Pennsylvania, I believe that you just started carrying some of your own Rhythm products in your stores. So, any update on those two assets and their ability to start to supply your own stores would be fantastic.
Ben Kovler: Hey Camilo, Ben here. Thanks for the question. Good question. I’d say, New York is very, very early, and a lot of action to come there. It’s a day-to-day new cycle there. And at the highest of high levels, New York has a lot of people that live there and then very immature early medical market, astronomically so. So, we’re thinking long term. Not thinking next quarter or even next year. We’re building a business for ‘23, ‘24, ‘25 for U.S. cannabis. And I think we’re excited about where that’s headed. New Jersey, you’re exactly right. We’ve had [indiscernible] on the shelf. So, that’s a medical only market right now. As the rules come out, it gets formed. We’re excited to be able to launch Rhythm, which is a higher quality premium product. It’s great for the patients. And as we have more of it, we’ll be able to get all around the state and really hopefully satisfy those that are interested in premium cannabis power because that’s what we’re about. And I think we do a pretty good job. But, we’re going to let the consumer tell us. And in terms of just the scale there, it’s snipper [ph] enough and jury’s going to be tight on supply for a while. We have some. We will have a little more, and then we’ll have a little more. It’s a dense market up there in Northern New Jersey for us, but we found a way to invest capital into a facility that can produce kind of flower we need and other products, as we’ve talked about, particularly under rec. Even though the rules aren’t fully out, I don’t want to jump to gun, we think there will be expanded access to different form factors of product, and we’re excited to be in that market.
Operator: Your next question comes from the line of Vivien Azer with Cowen. Your line is open.
Vivien Azer: So, my first is on Cann. Recognizing that the beverage category broadly is still nascent in the U.S. I was hoping that you could kind of articulate the rollout plan. You called out Illinois and beyond when you announced the agreement. Should we expect to see beverages in Illinois and other states in 2021? And as well, can you potentially articulate, like how we should think about the P&L impact? Thanks.
Anthony Georgiadis: Sure. Thanks, Vivien. To your last question, I don’t think it’s going to be a major P&L impact. I think it’s going to be major consumer impact. This is a new form factor into a market that is 100% -- 99% plus off-prem, the space off-premises. Slowly, the world -- the U. S. will really evolve. And beyond means the coast markets that are adult-use, where we can target this product, certainly, New Jersey. We don’t have the rules yet. So, I don’t want to overpromise, and other markets out there. We’re excited about bringing the product to Chicago, to the Midwest, to a lot of curious cannabis consumers or soon to be consumers or unsure exactly. And the concept is simply said, is sharing and gumming with the friend is not as familiar as sharing awesome sparkling beverage that just tastes so refreshing in the sun that you want a few of them. And then, you’re not over-consuming. And the key factor here on this form factor and dosage is a non-over-consume setup. But we’re going to go slow. We practice a crawl, walk, run. And the supply chain is new. The size of the market is new. But, we’ll be watching the study that we want to come with the best brand and a product that’s differentiated that has huge momentum because everybody that tries things to love it.
Vivien Azer: Yes. That sounds great. It’s very attractive product indeed. My follow-up question is on your same-store sales growth, which looks sort of decelerated. Sequentially, it was very high in the third quarter. And so, some deceleration is not necessarily unexpected. But if you could expand on that, please, I’d appreciate it. Thanks.
Anthony Georgiadis: Yes. Did you say decelerated?
Vivien Azer: Yes. I believe your same-store sales growth was 18% last quarter on a 42-store base. And this quarter, it was 6%, on 48.
Anthony Georgiadis: Yes, like 65 and then 60. Yes, I wouldn’t read much into that. It’s a bigger base. More is coming on to the base. Certainly, like as you anticipate, and if you’re modeling, you have first quarter Illinois lapping Illinois. You do not have the step-up that you did on a big base, like last year, just anticipating how this works, but the boxes are good. There’s a lot of demand for the product. And again, the best leading indicator is the state data that is pretty transparent on a state-by-state basis. And it’s pretty easy to see the penetration level into the markets where we can invest capital feels pretty good.
Operator: Your next question comes from the line of Eric Des Lauriers with Craig-Hallum Capital. Your line is open.
Eric Des Lauriers: Great. Thanks for taking my questions. And congrats on yet another very impressive quarter. So, given the siloed nature of state markets and the active M&A environment in the space, integration is a vital yet often overlooked aspect of the industry. I know integration is something that you guys have always been focused on with your One GTI strategy. And recently, we’ve been seeing and hearing reviews of improving flower quality from Rhythm. And obviously, investors are seeing continual improvement in your financial results. So, can you talk a bit more about your One GTI strategy? How do you seek to drive continual improvement at GTI? Whether it’s financials or product quality? And sort of how you expect that to maintain your leadership position going forward here?
Ben Kovler: Thanks, Eric. Yes, it’s Ben. I appreciate the kind words. And seeing over the years some momentum on the Rhythm flower is going to make the pretty excited the whole team. That’s what this is all about. It’s the two things you said. The team and what the team can deliver for the consumer, which is the product and that product delivers an experience. And if we can deliver that experience everywhere and get consistency and elevated, we win. We believe in the product. We think that it can offer wellbeing to consumers across America, and we’re sticking to the playbook. And then, he said, when adopt too simple. And so, we’re learning. We’re focusing, we’re refining. We do not have it right. We did not know the perfect mix. But, we’re in a unique position, and we get some of the product right. Good things tend to happen because it’s all about the consumer and that experience. So hopefully, that answers your question.
Eric Des Lauriers: Yes, yes. That was definitely helpful. Thanks for that. And then, just as a follow-up, so from an investor point of view, we’ve certainly seen the impact of depth over breadth within markets. And you guys have clearly demonstrated some leading capital allocation scale. Can you talk about any insights that you guys have gained over the past months or years? How your capital allocation strategy has potentially evolved? And then, with these two large raises year-to-date and now reports of safe banking being reintroduced tomorrow, how might that capital allocation strategy change with increased access to capital markets?
Ben Kovler: Yes. I mean, the short answer is no change, same game. I mean, we’re investing on behalf of shareholders to create great returns. And we think brand distributor scales how to win with great brands to resonate with consumers. We can build those brands across the market. So, we sit at the same table. We have the same conversation. And there could be an extra zero. There could be a different state. But, we have a team that can handle it now, not that we’re perfect, but it’s a different kind of game, sitting and to be allocating the capital and driving the returns that we can believe in the spend. We’ve been at this six, seven years and we make plenty of mistakes and we try to make things take place, and then we do we make it less expensive, but that’s what we’re up to, and it continues to be invest $1 for a $2 and it’s a growth business at a cheap price. So, it’s like a $0.50, $2. And we’re pumped about the game, but we’re not going to like change it. So, here we are with a lot of cash that came in at the right price, and the industry is dynamic. And there are tens of millions of consumers across the country that are curious, that are interested. And we just want to be part of the experience of opening this up for folks as they have alternatives.
Operator: Your next question comes from the line of Pablo Zuanic with Cantor Fitzgerald. Your line is open.
Pablo Zuanic: Ben, it’s a bit of a maybe a philosophical question, but there’s more and more MSOs providing guidance and some of them with a lot of detail. Is that something you’re thinking of doing, or you don’t see value for you guys to do that? Thanks.
Ben Kovler: Thanks, Pablo. We’ve been out and around and then hearing the trends and watching people talk about pro formas and then deals break, and has guidance been helpful for you and the investment community. It’s very hard to handicap when these things open and how they go. We’re trying to be as transparent as possible about the business, where there’s growth and really what’s happening. And the best leading indicator of the business and really the best guidance, spend, we’re trying to be transparent as possible about that. Because that’s what drives the business, market at a high level where there’s more demand than supply. And as that evolves, what that CapEx is doing to fortify the moat, drive down the marginal cost of production, and continue to lead the business. So, I’m not sure which kind of guidance to give you based on which markets. And I couldn’t tell you what months New Jersey turns on and how that works or what’s going to happen when Illinois is going to get out of its own way and issues 75 new licenses. I wish I did, that would be fine, but we have to play with the facts we have and share them as they come.
Pablo Zuanic: That’s fair. And then, just a second one. Other companies are talking about making contingency plans or having contingency plans for the onset of interstate trade in the future. I know, again, that’s very hard to predict if that will ever happen and when it will happen. How does that color your plans of expanding capacity in New York, New Jersey or Pennsylvania, or it does not at all, and you just go after the opportunity in those states, pretty much state-by-state? Thanks.
Ben Kovler: Thanks. It’s certainly a factor at the table. We’re focused on allocating capital to build the brands, and we study the map a lot. And we’re watching what’s happening. We do not think interstate is coming tomorrow. I would be surprised. I think business would be a great shape if it did. The thing that many missed with this question, which comes up all the time, is what else would be happening in the game if that were to occur. And that’s an interesting thought exercise and a white border for folks. But it’s not simply just interstate. So, we are about building the brands for the consumers and anticipating what we don’t know, even though we don’t know, we don’t know. And if everything we know is what we know, we love what’s going on. And therefore, we’ll continue to wait. As Anthony says to the team all the time, expect the unexpected. So, therefore, is that like the way to play or not. And I think this week alone, look what’s happening with New York, what was potentially happening in Congress in D.C. There is action. And like we said in the remarks, we’re prepared for it. We think change is happening. And we’re set up well.
Operator: Your next question comes from the line of Howard Penney with Hedgeye. Your line is open.
Howard Penney: Hey. Thanks very much for the question. I’m not sure how to ask this question, but pick a state where you’re building cultivation. How many years does it take to get your return, your dollar return on that investment? And I ask that in the context of interstate commerce. And that’s five years down the road when you’ve gotten payback on those assets you’re putting in the ground? Thanks.
Ben Kovler: Yes. That’s we’re not worried to be spending the money. We’re spending to be sure whatever happens, we’re going to be good is the core answer, because that’s thought a lot. But zooming out, between permitting and getting set up, and we’ve talked about the highest level six months to build and six months to grow to be 6, 8, and 10 months, depending on which jurisdiction or sooner. Plants can’t be sped up or slowed down. They are what they are as we unroll that. And then, you can make some assumptions on prices based on the market to figure out the returns and the yields. But, it’s an attractive enough investment, where we’re not worried about what will happen if we can simply, as I’ve said many times, execute. I think, we continue to execute well. There’s always room for improvement. But if we execute with the dollars, the turns are great, but fantastic. By raising the cash at 1x, right, the dollar is a dollar. And investing in for the EBITDA that that dollar creates and trading at a multiple of you make it up, creates a lot of shareholder value, which is exactly what we’re up to, which is why, to Matt’s question, like the CapEx is the situation. And then, it’s why, because of the demand curve, and it’s around and around we go and the consumer loves the product. So, like that’s the whole deal here.
Howard Penney: And if I could just ask another one. How important is a capital markets component to the SAFE act? I appreciate the access to the financial system and all that SAFE brings it, but there’s another element, I think, is also important. So just curious how important that is?
Ben Kovler: I think you said Howard, I’m sure -- how important the capital market is to the SAFE Banking Act?
Howard Penney: Capital market access to it. Yes. But besides just access to banking and the financial systems, there’s a capital markets component that allows you to switch exchanges?
Ben Kovler: I mean, there’s upside. The way we run the business is sort of an optionality machine, right? And so, we’re fine with the way it is now. And if things get better, it will be better. If the cost of capital goes from where it was in the rearview mirror, which was a double-digit rate with warrants or these sale leasebacks at double-digit rates, where it’s going to be very soon, which is single digit, where the credit is probably investment grade and yet we have to pay more but it’s still single digit, and then it’s going to go even lower. But, the people that have access to lower cost of capital can’t put it inside of our moat. So, we’re very comfortable with the current setup. We love that we lead the industry with lowest cost of capital. That’s really the way to win over several cycles in several different industries. If it changes and this passes and the things in the nuance, and you know probably better than I do, how the sausage is made and the details, which we do not have a lot of edge in, but what we do have edge in is optimizing with the facts on the table. So, if capital markets open up in SAFE, we’re in leading position to list on U.S. exchange. SEC registered and we sold stock to U.S. GAAP, we’re here ready. But it’s not my call; it’s not Anthony’s call. So, we’re playing the system, and we’re just putting ourselves in a position, like I said, optionality maximization machine. And that’s what we’re doing.
Operator: Your next question comes from the line of Michael Lavery with Piper Sandler. Your line is open.
Michael Lavery: Can you give us an update on your strategy in California? You’ve obviously just opened a store there. Just maybe some of what your enthusiasm is in terms of seeing that market improve or what its outlook is, and just what -- help us kind of understand what to expect looking ahead.
Ben Kovler: Sure. If I summarize the California strategy, one word I would say is learning. We’re there to get smarter. I’ve said before, California is the best way to lose money in cannabis. And I say that affectionately to all the people that have lost money there, but it’s a tough setup. So, I don’t want to swim upstream or sit at the hardest poker table or anything like that I like when the odds are in our favor. But there’s a lot to learn. There’s a lot of respect for what’s happened out there, who the players are and what goes on, and it would be foolish of us to ignore. But I don’t need to allocate a lot of money if we don’t think it can turn into more. But, I think product, we said pioneering in the prepared remarks, innovation, which happens kind of everywhere, branding, consumer trends, whether it’s cannabis or otherwise, are really important. We like what we’re doing there in order to position ourselves, like I mentioned in the last question with optionality. It’s really the whole strategy. Everywhere is optionality. So, we think we’re in a pretty good position there to watch, learn, get better, and at the right time, take advantage for shareholders if it makes sense.
Michael Lavery: Okay. That’s helpful. And just on the consumer, can you give a sense of how much you’re seeing learning behind the brand equity, which brands maybe stand out more than others, or anything that helps you in markets that are new or you’ve discussed wholesale in California, but just maybe pushing that further, or how to think about the traction behind the brands and how sticky it can be?
Ben Kovler: Yes. Just broadly brands for the country, I mean, it’s the same exact thing and saying this is an honest, consistent product. I mean, before you get into marketing campaign and the colors and everything, there’s a few people able to do it. I think there’s a national launch here recently, availability, simply having consistent product available is a monstrous feet. That’s how you can build the brand, then is it good. But, if one day, like somebody said a while ago, the sprite is orange, it’s not really going to work so well. So we just need to be consistent and available. We think we’re on to something to connect to the consumer, who is the user of the product and the use case, form factor, happy, healthy, comfortable in the deck. That’s the game. It’s like not more complicated than that. And the consumers are everybody you’re around, I’m around, multigenerational, suburban, rural, urban and all lots of life, who are curious about an alternative for this. And so, that’s what we do. And we can then get pretty instant feedback on what brands are working on and what might not resonate. So, we can tell right away and as somebody else -- consumers are loving Rhythm Brownie Scout, like winner; they are loving incredible, winner. And we can tell that. We know that that’s happening. We know people don’t sleep very well. We know Snoozzzeberry gives a better night sleep. We don’t have FDA studies. Things are beginning to unfold broadly. But we’re offering wellbeing in an alternative and a consistent brand. That’s kind of like what America has been about for a long time with the land of the brand for 120 years or so. So, we’re happy to play right into that and offer alternative for the consumer that really drives the economy, which is really going to drive this decade growth story.
Operator: Your next question comes from the line of Aaron Grey with Alliance Global Partners. Your line is open.
Aaron Grey: Thanks for the questions. And congrats on the quarter. So just quickly, I know you guys aren’t giving guidance, but just to kind of give us a better sense in terms of maybe some store openings you guys might have planned. Over the next couple of quarters, I know you still have some storage you could open up in states like Pennsylvania, California, you have two more, you can open up some more as well as in Illinois. So just if you can give any sense in terms of plant store openings you might have? I think that would be helpful. Thanks.
Ben Kovler: Sure. Thanks, Aaron. Yes, sure. We give you a little more color there. So, 54 open today, 3 that have opened this year. Stepping back, ‘19, we said 15 to 20, we did 20. I think in 2020, we opened 11 with some remodels. Remodels really drive business. Obviously, if we go same site for medical and adult-use. It’s effectively a new store, but it’s a remodel, we don’t add it to the account, and the acquisition in Connecticut. So 2021, three opened so far this year, [indiscernible] and one in Pennsylvania. And there are more in the pipeline, actually, I am not giving guidance, but if things align here, we can get one, maybe two more open this quarter or April. How we got cookies in the pipeline, second quarter situation in Vegas. And look, people are going to come back to Vegas if you believe the flight numbers now and vaccine penetration and tourism and things like that. So, we’re pumped about that. And there’s more to go. You mentioned a few of the states, there’s a third store in New Jersey. There’s another store in Illinois, Pennsylvania, Nevada. So, it’s like where we’re not max, we’re going, and where we have access to product, we’ll open a store to serve the consumer.
Aaron Grey: All right. Great. I appreciate that color. And then second one from me. I know you guys talked about some investments you made in the management bench. So, you had a little bit less SG&A leverage this quarter than you had some prior. So, just want to get a better sense of where you feel you are today in terms of additional investments seen on the SG&A side? And how to expect maybe incremental SG&A as you go forward? Because, obviously, you guys have pretty frothy EBITDA margins. You mentioned some of your expectations on the gross margin side. So, would love to get your perspective on in terms of where you feel like you stand on the SG&A side? Thanks.
Anthony Georgiadis: Hey Aaron, this is Anthony. Good question. So, you’re exactly right. Look, we’re going to continue to invest in the team. And it’s across the board at all levels, right? So, we -- one of the things that we’re doing now, we are better capitalized. We have a solid business that’s producing nice cash flow is we now have the luxury to look ahead 12, 24 months and really see what’s coming and prepare for it, and learn from the mistakes where, candidly, we may not have been as well staffed as we could have been that would have allowed us to take greater advantage of an opportunity within a market. In terms of where margins will go in terms of the SG&A line, again, it’s really hard to say. But, I would expect that the gross SG&A number will continue to grow. And then, how fast it grows, we’ll sit back and we’ll throttle it up or down, depending on how quickly we anticipate kind of future revenue hitting the P&L. That’s one of the things that we do on a regular basis is just make sure that we’re constant level setting and stepping on the gas or hitting the brakes on an as needed basis.
Operator: Your next question comes from the line of Andrew Partheniou with GMP. Your line is open.
Andrew Partheniou: Maybe just talking about the production expansions that you guys said you pulled forward in Q4. And obviously, you guys are not going to give guidance. But, could you talk a little bit about what states those were in? And for 2021, what would your priorities be both near-term and both -- and maybe in the second half of the year in terms of production expansions on a state basis?
Ben Kovler: Sure. Thanks, Andrew. It’s Ben. I can start. I would say, if you look at the map, which I’m doing. And you look east of the Mississippi, you got a lot of people in a lot of markets that are underpenetrated, where our licenses are with first mover and access to consumers where it’s medical, and it’s potentially going to adult users. It’s already adult-use and that we report our dollars. So to give you the state names, I mean, it’s not that hard to see where we are, but Illinois, Ohio, Pennsylvania, New Jersey, Maryland, Connecticut, New York, Massachusetts. I mean, every single state eastern Mississippi where we’re operating in currently. And we’re very focused on what else is happening around the country. We’re not too head down to miss something.
Andrew Partheniou: And then, maybe just switching gears, I think stimulus checks are going to be in people’s pockets soon. Last year, we saw that that could have -- trigger an increased spending on cannabis. How should we think about it this time around? There’s potentially more supply in the market now that things have progressed since last year, but at the same time, there’s a little bit of a reopening or reducing of restrictions. So, how should we think about that -- how consumers might be spending their stimulus checks in the near term?
Ben Kovler: Yes. Literally, it’s as simple as they’re going to buy more weed. It’s nice that the markets have more supply because businesses are up.
Operator: Your next question comes from the line of Graeme Kreindler with Eight Capital. Your line is open.
Graeme Kreindler: Just a follow-up on that previous question there. The dynamics between stimulus checks, some states reopening, some others using the restrictions. I’m just wondering, layering that on with some commentary from peers about we’re seeing some seasonality or potential for some seasonality within the industry, some patterns there. I’m wondering what that looks like, how all those forces are acting against one another with respect to what it’s looked like for you guys in Q1 to date.
Ben Kovler: Yes. I mean, 2020 was a strong year. The first quarter, like we sort of talked about, we were able to pull forward the consumer trends, hard for me to really say. February, had a lot of snow. Nobody could miss that. And you got to just look at what happened in the country. But, I can’t really comment on any sort of trend. We think demand is strong, getting stronger, basically what I strongly encourage you to do for anybody really is just look at the state revenue by state and then the population and understand what’s going on there. And we’re bullish.
Operator: Your next question comes from the line of Scott Fortune with Roth Capital Partners. Your line is open.
Scott Fortune: I want to go back to your whiteboard. There have been thoughts on third-party brand strategy. You seem to be adding leaders in the brand space of cookies and the recent Cann. Can you provide a little more color on your partnerships or kind of the strategy there and big picture long-term to partner or JV is kind of some of the larger CPG brands out there potentially?
Ben Kovler: Sure. Thanks, Scott. Yes, we’re really just studying the consumer and what’s resonating. We want to be around and learning all the time from who’s having success and what’s going on. So, it’s a mixture of building our own, learning from what’s out there, expanding the portfolio, the form factors, to build by decision every day, and that sort of thing. And at the core is consumers are going to resonate with product that is brand. It’s the most simple sort of thing to say, but it really is an important idea that drives us has been part of the business thesis since 2014.
Scott Fortune: Got it. And just real quick color on Florida to expand there. You’re seeing more supply competition come in on board. I know you’re not allocating much down there. Do you see it as an important state, even though you haven’t allocated much there? How do you look at Florida?
Ben Kovler: Yes. 20 million people is very important. We like the market a lot. Where there was limited high cost of capital, it didn’t make a lot of sense. So it may not hold on water.
Operator: Your next question comes from the line of Andrew Semple with Echelon Capital Markets. Your line is open.
Andrew Semple: Good afternoon, everyone. And congrats on yet another solid quarter. Given the bigger war chest, as you guys put it, I’d like to get your updated commentary on M&A. Has there been any change to the criteria you will employ going forward, or any states that are now standing out that maybe haven’t in the past? And are you seeing any movements -- meaningful movement on private market valuations, given what we’ve seen in the public markets over the past couple of months?
Ben Kovler: Sure. I’ll take it. It’s Ben. I think, I’ve already said, but everything is on the table that makes sense. And we are studying everything going on, especially in the U. S. Bar for the capital remains very high. But there’s a lot of dynamic, pricing and capital and different things. How does it fit into the overall thesis? Does it help us distribute brand and scale? Who are the people, and somebody else mentioned, integration, very underestimated skill and lifts in this industry. We’re proud of where we are with One GTI right now. So, we’re here, we’re watching the exact same lens that I keep mentioning, which is, is it good for shareholders? Does it drive the thesis? Is it crazy, exciting for us and several other proprietary matrices that we run.
Andrew Semple: And if I could maybe just go back to the partnership agreement with Cann. I just want to clarify, is cannabis beverages completely incremental to your existing product portfolio? And are you seeing anything on the ground that would suggest that consumers are going to respond favorably to this new format being introduced?
Ben Kovler: Yes. I mean, two yeses, totally incremental. I think it’s really a new consumer entry form factor, comfort, dosage. This is a glass of wine at the end of the day replacement. This is the White Claw replacement. This is the weekend out and about -- say, it’s a medical product and the medical product business is different, right? We’re talking about a different consumer, different use case and that sort of thing. And I don’t think we would be behind it as much as we are unless we thought that there was adoption and that there was interest in something that’s going to happen here.
Operator: Your next question comes from the line of Glenn Mattson with Ladenburg Thalmann. Your line is open.
Glenn Mattson: So most of my questions have been asked at this point. So digging a little bit from the bottom of the well. But maybe I would love an update, just the new store you opened in California being an Essence store. Can you just remind us kind of like what the strategy is for having multiple brands on the retail front? I can understand them on the CPG side, but kind of the high level differences between the two stores and whether or not you’ll consolidate those at some point?
Ben Kovler: Yes. I mean, we’re trying to build the best consumer experience. We got Essence in Vegas. This was a license of that application and things in California are incredibly tricky. It was one of the more tricky stores to open that we’ve been apart with 54, but it’s the same promise. We win with service and selection. We treat people extremely well. We’ve been in the states, we move on. So, we expect to win there and see what happens. Like I said, it’s a learning thing. And I couldn’t tell you exactly what the path is going to be. But, we’re excited. It’s right on Colorado. And it’s a good location in a market that doesn’t have a lot of license being Pasadena, a market where the consumer knows the product, they keep us honest, and we’re excited about the opportunity there.
Glenn Mattson: And if I remember correctly, I think you had a license for consumption lounge as well. Is that -- any plans to move ahead with that? Anything on that front?
Ben Kovler: You’re correct and still evaluating diligence, location. There’s lots of challenges. Like I said, Pasadena was one of the trickier ones out there. I think in terms of on-prem, which is consumption lounge across the country, and I think probably in a year from now when we sit here in 2022, there will be more sites across more states. And the first one is opening in Illinois, not ours, but I saw a headline earlier. I think that will continue to evolve, right? This is the unknown. This is the great American experiment is what we do. We invest and innovate. And I think on-prem consumption will exist.
Operator: Your next question comes from the line of Matt Bottomley with Canaccord Genuity. Your line is open.
Matt Bottomley: Good evening, everyone. Congrats on the quarter. I just wanted to pivot back to this. One of the sort of inbound questions I get a lot from investors is sort of how to handicap or line up the rather limited licenses that are there already. So, about 12 operators there. And given the retail infrastructure versus the population is still quite modest, even from a medical alone standpoint. Can you give us any color on what you think the strategic considerations are to get off the ground running there? Is it having enough capacity built up in advance? Is it the actual locations of your retail versus your peers? Just trying to get some more color on that market, whichever you expect at some point in the next six to nine months here to open up?
Anthony Georgiadis: Sure, Matt, Anthony. I’ll take that one. Look, I think it’s all the above, right? You’ve got a very dense state surrounded by a lot of other markets. Certainly, you need the product to open the store. But at the same time, given that the medical program really didn’t get off the ground with any real substance, and it took a lot of time. Cannabis is still a nascent story where you’re sitting down with some of these local regulators. And so, there’s a lot of education that has to take place within these towns and make sure they understand kind of what we do and how we do it. And so, in that regard, that’s why I think you’ve probably seen, I don’t want to say, slowness, but it’s taking time for people to kind of operationalize their businesses. And so for us, it’s a state that we’re very focused on because, look, we see the density, we see the opportunity. And while it’s a heavy lift to get things off the ground, we think long term, it’s going to be a fabulous market.
Matt Bottomley: And just a follow-up, I guess, on a market basis. One of the markets you guys aren’t in that, it wouldn’t be material to your overall operations in isolation, but one that has a very favorable infrastructure is Arizona. So, is that something you guys have considered? I know the multiples for some of these assets have gone have been quite lofty, but again, a market that just sort of opened up for rec. So, is that something you guys have actively been pursuing or a market you existed or entering at any time soon?
Ben Kovler: Matt, it’s Ben. We’ve looked at it. We study it. We know the operators, good respect out there. Yes, just to show you the card, we think there are better places for us to put our capital. But if there’s something super cheap and super great, and they need our brands and our products, and it’s a great return on invested capital, you have our phone number. And that’s really the attitude around here. But, we think there are for our business and who we are, what we’re targeting is not on the top of the list.
Matt Bottomley: Okay. Thanks.
Ben Kovler: Thanks, Matt. Thanks, everybody, for joining. We’ll be back with the first quarter results in May. Have fun.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.